David Guengant: Good afternoon, everyone, and welcome to Solaria 2025 First Quarter Result Webcast. My name is David Guengant, the Head of IR of Solaria. I am joined today by Arturo Diaz-Tejeiro Larranaga, our Chief Executive Officer. During this call, we will discuss our business outlook and make forward-looking statements. These comments are based on our prediction expectation as of today. Following during this presentation, we will begin with an overview of the results and the main development during this period, given by our CEO, Arturo. Following this, we'll move to the on to the Q&A session. And I will also highlight that you have to submit all your questions via the web. So, thank you very much again. And I will now hand over the word to Arturo.
Arturo Diaz-Tejeiro Larrañaga: Thank you, David, and thank you to everyone joining this conference call. Of course, like always, I will move extremely fast, around the presentation, and then we will go to the Q&A session and start. Time for action. And I think that we present a very strong set of results, increasing revenues, EBITDA, net profit, investments. We increased our net profits in more than 100%, same in EBITDA numbers. And I think that these numbers are affected by the transaction of Eneria that has affected our first quarter results presentation. It was new that we announced in our 2024 annual report presentation. And of course, it's something that we include now in the first Q of this year. We continue constructing more than 1.4 gigawatts of construction and that should be connected for the end of this year, partially for the end and other during this year. And probably we will add additional construction of additional gigawatts during this year, approximately 2 gigawatts of additional developments that will start with construction during this year. And of course, like important message, we reaffirm our 2025 guideline EBITDA for 2025, EUR245 million EUR255 million. We will talk later about our guidelines of EBITDA for 2025, '2026, 2027. Of course, important points of this presentation, we can talk about what we have done or we can talk about what we are going to do. And I think it's more important what we are going to do in the next quarters and in the next years. And we are going to talk about the points that we are going to develop, the business points, the business strategy that we are going to develop during the next quarters and next years. First, hybridization. As you know, Solaria is probably the leader from solar energy generation in the Iberia region. And we want to extend to wind, generation in the Iberia region. And, we want to extend to wind and to batteries. All of our connection points today are collecting, ready to build permitting process for wind parts and for batteries. And I'm extremely proud to say that probably we are the first player from volume of batteries capacity in Europe and, especially in Iberia region. Today, our portfolio is impressive, with more than 20 gigawatts per hour of portfolio. And we are going to start not with the permitting process. We are going to start with the installation process during 2025. It's as you know, because we have announced in a press release a few weeks ago, we have acquired batteries that will be installed during the third quarter of 2025 and during the fourth quarter of 2025. What does it mean? Probably from volume of batteries point of view in Iberia region in 2025, 2026, we will have an enormous volume of batteries functioning including in our portfolio of generation. It's something that will extend our solar hours functioning, our solar generation capacity, because we are going to extend our generation capacity more hours per day. And we will optimize all the tariffs, all the merchant prices that we are receiving. This is extremely important because I think that batteries for the future are critical especially in Iberia but not only in Iberia, in all European regions. And it has sense to develop our capacity. And it has sense to use our grid and substation capacities because, as you know, during the last year, we have invested a lot of money in our own grid and in our own substation and electrical infrastructures. And, now it's ready for being used, in the consumption points for batteries and for new generation associated with wind. This is critical because it's something that we are going to show to the market during next quarter and next year. CMD. It's important the second point that I think that we will repeat during next presentations and during all of our press release is the data center capacity. As you know, Solaria has betting we are betting strongly for the growth of data centers in Iberia and in Europe region. We think that it's enormous we will have enormous consumption of electricity from this data center business. And we have get great successful around consumption points that, as you know, it's necessary for connecting data centers. In Spain and in Iberia region today, we have 1.2 gigawatts of consumption points for data centers. Our data center business area is extremely active, talking with the key players and closing deals. In September, probably, first, second week, we are going to announce investor day for talking about contracts and situation of our data center business. And it's something that is going to be key for us the next years. Data center strategic plan. And, it's something that will give to us cash, value and really good customers for the long term. Of course, other points that are critical, PPA. We have report, small PPA of 50 megawatts. It's timing for signing PPAs. I think that is a good signal for the market. It's extremely good signal for the market because if you secure good price of electricity, obviously, you are securitizing good project IRR levels. And we have an incredible pipeline of new PPA customers. And probably in the short term, we are going to report new deals and, with really good and exciting conditions. And I think that is an important part, like always of Oreste today and we are going to continue signing PPAs. Eneria, of course, it was announced in the annual results presentation, and it's a new business we explained in February. For us, solar is a business of business. Generation business is making its towards the opportunity to grow around other business link to generation, real estate business, not only real estate, data center business, batteries business. It's like, in our view, when you are the owner of the grid, you are the owner of the electrical infrastructure of the substation, of the generation, you open the door to new business that could be extremely attractive with, really good levels of IRR and real estate is one of them. It's not the only one. As I have mentioned, data centers, batteries, or other new business that we are going to show during next quarters will be linked completely with our generation business. Of course, numbers. Of course, I have mentioned we're growing all the numbers this quarter, and probably this will be the worst quarter of the year from numbers point of view. I have a strong visibility today of the first half results, and I can say that we are going to present to the market excellent results associated with the first half results. And probably my comment not today, I think that it is unable to announce that we maintain our guideline for 2025, especially, but probably with the first half result presentation, we will need to give an update to the market in our guidelines. Because I think that we should increase our targets of EBITDA for 2025, 2026, 2027. I think that business is functioning correctly. We are getting really good results. We are going to announce really good news in the next weeks. And I think from numbers point of view, we have a strong trust that we are going to show our projection and our guidelines. So, it sounds aggressive but I love this kind of words. Probably, we are going to show the numbers that we have presented previously. Of course, we continue investing money in all quarters, as you know. We continue constructing. We are going to increase this construction reading and we are going to add, as I have previously mentioned, we are going to add more gigawatts of capacity that should be constructed in the next years. Here we include the Iberia Region, 1.4 gigawatts that will be constructed during 2025. We have done approximately 50% of the construction works. And during the third quarter and fourth quarter, we are going to connect a lot of developments. And we will finish like the leader, probably in Iberia Region from solar point of view. EBITDA guideline, I have explained EUR245 million EUR255 million. Today is the day for saying that we reiterate our 2025 EBITDA target. As I have mentioned in our investor day in September, probably, we should give an update on EBITDA guideline for especially 2025, of course, 2026, '2027 because data center business especially is functioning great. And I think that is something that is going to give to us important numbers and important cash flow. Of course, new PPA is a small PPA, but it's significant because Trafigura is a new player in the game. It's the first deal that they signed in Spain, and hopefully, they will sign more. But it's important because it's a key player in the trading market. And, we have raised at the same time a new finance agreement with Sabadell Bank and for 175 megawatts associated or linked with our data center. It's one of the innovations. But I think that it's early to talk about this in the investor day for data center, we will explain because it's exciting. In data centers, we are signing contracts and, and the global business is extremely exciting for Solaria and for the future of Solaria. Data center is going to grow. Solaria probably is the key player in global in Europe. We have the best platform for growing data centers. We are the key player from electricity point of view, from for a supplier of electricity point of view. And we will report a lot of contracts associated with our data center business, but not today. Probably is first half is the correct timing for giving visibility to our data center business and the effect that is going to we are going to see in the accounts and in the cash of the company. Of course, wind portfolio and diabatization, wind, we think that it's timing for wind. It's good, all the solar that we have developed, but the combination with wind could be wonderful, and we are going to do. And here we include a case study of Garonia that includes wind and not only wind, batteries and other combination. Today, I think that if you are the owner of infrastructure substations and you have the ready-to-build permitting process on-site. It's like it's easy to add additional capacity that could complete the cycle. It's a perfect combination, solar, wind, batteries and hopefully data center too. And it's perfect because you have consumption and you optimize the generation process. Best portfolio, batteries. We have an enormous capacity that we have developed during last years. And today, we have in Iberia region enormous capacity, but not only in Iberia, in Italy, in Germany, and UK. Our view is to make a global platform of batteries and to combine with our generation capacity. And always, when you have the grid, you have the substations, you have the infrastructure, it's easy to add additional capacity of consumption or generation. It's something that we are executing. It's true that, as I have explained, we have announced the signature of a contract, more than EUR25 million. We are signing now additional EUR25 million EUR50 million of CapEx in batteries that will be installing in ’25 this year -- during this year that we'll be installing some of our generation assets. We are receiving a grant from the national authorities, in this case, from Spain. You know that today, Spain or today, during the last weeks, Spain has announced a new line of EUR700 million for supporting the growth of batteries, and we will be there. And we will see the result, but we will be there. We are probably the most efficient from CapEx point of view player and we will use. Of course, as I have mentioned, no, CapEx, like always, for us, is key. It's a key point because at the end of the day, this is an issue of money and project IRR. And we continue being the most efficient player in the all of our activities. And, we are looking especially in this kind of business for paybacks of less than five years, no? Not including subsidies. If we include subsidies, obviously, we could improve a lot this number. But today, we have received some subsidies, but not massively. We will see the results of the program approved by the Spanish government. Data center, September, probably we will report contracts until September associated with data center. This is a revolution in my view because it's an enormous customer for us because they are going to acquire massively electricity. We are not developing our business only in Spain. We are developing this business globally in Europe because we think that data center phenomenon is not based only in Spain. Spain is a great location, but it's something that will grow in Germany, in Italy, in United Kingdom, in France, in all the countries. And for us, it's the key customer from consumption point of view. It's impressive the consumption that they need to maintain. And we are going to be the key supplier of electricity infrastructures and PPAs. And we will report contracts that will affect seriously our cash and our returns. It will change completely the face of the company, and we will see. During September Investor Day, we will give more visibility. And as I have explained previously, probably we will report contracts associated with this business. Of course, about Solaria's decision, we have decided to acquire shares of the company, our own shares. I think it's the best investment today for the company. And we have decided to acquire 10% of the shares of the company. We will execute daily and without limitations on timing. And, our intention is to acquire more than 12 million of shares in the next month. And we see a great opportunity in the acquisition of our own shares and it's timing for executing. No? And, 10% is a good number, but I think that it's extremely reasonable, especially with the actual value of the shares. It's like, in my view, probably it could be the best business of the company. And from today, we are going to start with the execution of this deal. Thank you, David. Thank you. And we will go to the Q&A session.
David Guengant : Okay. Thank you, Arturo. We will now open for a Q&A session. And once again, thank you for your time. Just one minute, please. So, thank you very much. The first question come from Arthur Sitbon from Morgan Stanley. And two questions. First, if we can provide more detail regarding the terms of the share buyback plan announced, under which time or reason will we try to conduct it and if we can reduce renew it once it's over.
Arturo Diaz-Tejeiro Larrañaga: No limitations of time is something that daily we are going to acquire shares. No limitation of time and no limitation of quantity until 10%.
David Guengant : Next question coming from Artur is how will the share buyback plan be funded, please? And second question is, is Solaria going to lower its future Spanish solar capacity addition to fund it?
Arturo Diaz-Tejeiro Larrañaga: It's not linked with our Spanish solar capacity or our operations. It's a specific credit line associated with the acquisition of shares and is not linked with our Spanish solar capacity or our operations.
David Guengant : Next question is coming from [Indiscernible] from Banco Sabadell. If we can comment on blackout in Spain and if at some point this event could affect the deployment of renewable in the in the short and medium term. And I'll send more questions regarding the timing of the buyback program, but I think that are two already answers. So, the first question is any impact from the blackout for the renewable in the future?
Arturo Diaz-Tejeiro Larrañaga: Not significant impact. Honestly, I think that a lot of news and noises and people talking about renewables and nuclear and other things but not significant impact from numbers point of view. And the mix, if you see the mix during May, was incredible the percentage of renewables, and it's something that will continue.
David Guengant : Next question will come from Philippe [Indiscernible] from ODDO. Our merchant revenue are reaching 25% in the first quarter. Are we considering to reach 20% at the end of the year?
Arturo Diaz-Tejeiro Larrañaga: I think that 20 sounds reasonable. As I have mentioned probably, we will report soon important BPA contracts. And, 20% of merchant sounds reasonable for us. But 25, it's good. But 20 sounds better, probably for the end of this year. But in this company, things change extremely fast. And we have under negotiation today an enormous number of PPAs, different PPAs with different players, and that could be reported in the short term, no? And it's something that could change suddenly the face of the company, talking about merchant fixed price exposure.
David Guengant : Next question comes from Eduardo Gonzalez from Grupo Santander. First question is, can we provide a bit more detail regarding the achieved price in the first quarter of 2025? It seems a bit low considering that capture price by solar was around EUR65 megawatt hour, and our merchant exposure is approximately 35%.
Arturo Diaz-Tejeiro Larrañaga: Is the result of the mix of fixed price associated with PPA and merchant prices? Approximately, we have today around 20%-30% something percent of merchant approximately and, 75%-76% percent of fixed prices. The combination gave to us the price of EUR59 or something like this. No. And, it's a combination. During the first quarter, we had a lot of PPAs functioning and our merchant exposure for was less than 35%.
David Guengant : Next question is coming from Enrico Bartoli from Mediobanca. EBITDA guidance. EBITDA guidance of EUR245 million EUR255 million if we can elaborate a little bit regarding this guidance and regarding the expected evolution of energy revenue over the next years. And do we expect any contribution from Eneria or other business in this EBITDA for this year? And last, battery storage, what is going to be the business model for this 0.5 gigawatt-hour of battery storage?
Arturo Diaz-Tejeiro Larrañaga: Honestly, I prefer to surprise yourself. And I'm not going, my comment was extremely clear. I have said, we are going to show the EBITDA guideline EUR245 million EUR255 million. It's clear. My comment is clear. In the first half result presentation, you will see the numbers that as I have explained, will be exceptional. And, probably we will give new guideline of EBITDA for 2025 that it's not a critical point. 2026 and 2027. That for me is more important. 2026 and 2027. And, obviously, we have a lot of activities and new business today around the table. And, I'm not mentioning all the new business that we are opening, but I have mentioned the most important business for the medium and long term. And you will see the contribution. Of course, and what is going to be the business model for the battery, for the battery storage? For me, the battery is clear. The battery is something that optimize your price of electricity. Government changed the rules in Spain. If you install in the past batteries, it's like, you had some barriers in order to enter in the system, it was eliminate in the regulation. Today's timing for batteries, massive batteries in Spain and not only in Spain, in different countries of Europe. We have ready to build permitting process in all of our generation assets. It has since today with the actual situation of price of electricity to include batteries. And as I have mentioned, we are going to install the first battery in Spain probably in September. September August September will be installed. It's an easy installation. And in September, we will start operating batteries in Spain. And in October, in November, in December, we are going to receive additional batteries equipment and during 2026. It's the correct timing for starting with the batteries process, and we will be in the tender process of the Spanish government, not tender, in the subsidies program of the Spanish government, and we will see if we get successful.
David Guengant : Next question is coming from Victor Peiro from [Indiscernible]. Can we explain if something has changed in battery regulation? In Spain for us to decide to accelerate installation? Is there any news on regulation or just the power price drop by solar asset in Spain?
Arturo Diaz-Tejeiro Larrañaga: Small changes from technical point of view and regulation, because today, if you include batteries or not is something that doesn't affect if you go for to the market is previously is like if you include batteries, you were in the worst position for entering in the market. It's something technical that has changed. And we have talked with the Spanish government, especially with the regulation authorities in a lot of occasion, and they have changed. And, obviously, power prices today are in a great situation to include batteries because, you are seeing all days the difference between solar hours and, night hours. And you have big jump, big, difference between 3 o'clock and 10 o'clock. But I think that, the technical changes that led us to install batteries and the situation of prices justify the installation of batteries today in Spain. And the Spanish government program is something that obviously push us because EUR700 million, it's a lot. And probably we have really good situation to be part of this EUR700 million, and there is an important subsidy that gives to us better payback. The combination of all give to us, sense to install today batteries. From ready to build permitting process is not a big deal because we have on-site. And, about connection points for batteries is not a big deal because we have a lot of connection points. Consumer points, not connection. Consumer points for batteries is not critical but, obviously, it require time, effort, no? And at the same time, no? If you want to connect the batteries, you obviously need the infrastructure, the electrical infrastructure, grid, the substation, and it was constructed during the last three, four years, no? All the way that we have done today justify that we can include in our generation assets in our connection points, batteries or data centers because they are going to use the grid, the substation, all the infrastructure that we have constructed.
David Guengant : Next question comes from Gonzalo Sanchez from UBS. First question is when do we expect to start the buyback? Second question is regarding the financing of this buyback and the solar investment. How we can finance both? Third, can we confirm the expected yield of the lend business is still 8%? And last is do we expect any asset sales during the rest of 2025 and if so, which type of assets?
Arturo Diaz-Tejeiro Larrañaga: About the expected day for starting with a buyback, tomorrow. About the -- that we are going to continue investing until the end of the year. As I have said, we have raised a specific line for the buyback charge program and it's not linked with our operations or with our traditional investment capacity. About the yield, it's around -- obviously, we have a base case, but much more than we are able to get better. We don't have limitations of 8% or 7% or 6%, or 9%. We want to get all that we can be able and expect asset sales during the 2025. A lot of things will happen during 2025. A lot of things are going to -- you will see a lot of news and press release during the next weeks and during the next three months. I think that the company is going to change completely numbers will be affected positively. This is a good point. And I have explained during this conference call. This is the worst quarter of the year. The first quarter, in my view, and with the information that I manage is the worst quarter from a numbers point of view.
David Guengant: Next questions are coming from Daniel Rodríguez from Bestinver from [indiscernible]. If we can give a little bit more detail on the battery strategy. Are we considering tolling agreement? What, as potential off-takers, is the colocation is with already asset in operation or stand-alone? Do we have PPAs regarding with all this battery strategy?
Arturo Diaz-Tejeiro Larrañaga: I think that today, we are receiving a lot of calls and interest from funds, from energy groups that wants to acquire percentage of our battery company. We are studying joint ventures associated with them. We don't reject this possibility. We are talking with them because some of them wants to operate the battery or the -- wants to invest and to give the CapEx and they want to pay for all the permitting process that we have on site because as I have explained today, Solaria is the key player from ready-to-build permitting process for batteries, not only in Spain globally and ready to be installed tomorrow, and this is extremely important. And we have interest from Two types of investors. One is players that wants to operate. It's not a secret because international and European players. You know some of them because they have announced recently deals associated with batteries, not in Spain, out of Spain and funds that want to co-invest with us, CapEx or that wants to recognize the value of our permitting process and to add equity to the company, to the batteries company. And we are studying all the options and about the stand-alone or connected or self-consumption. We are developing both in some places, stand-alone in some places, self-consumption. For us, self-consumption is extremely easy because we have today the infrastructure ready, substation ready, grid ready, it's like it's extremely easy to install directly the batteries. But stand-alone is a good option, and we are getting connection points for standalone batteries in Spain, in Italy, in Germany, in all the places, it's a mix.
David Guengant: Next question coming from Jorge Alonso from Bernstein. Regarding DC, can we expect any completion of agreement with data center operator this year or agreements are expected in the midterm? And second question is regarding the asset to be deployed in 2026, how advanced? Are these assets that have to be deployed and built in 2026.
Arturo Diaz-Tejeiro Larrañaga: About data centers, yes, you will see deals signed during 2025 and some surprises associate. But yes, deal in 2025. And as I have explained, September Investor Day, data centers, previously, probably you will see deals and during the Investor Day, you will see deals, after the Investor Day, you will see deals. But during 2025, yes. And midterm, it's a long-term strategy for us. It's nothing opportunistic associated with 2025. I think data center is a business that we think that will be developed during 2025, 2026, 2027, 2028. And we are going to stay with our customers in the midterm and in the long-term supply and services to them. And megawatts 2026, we are going to, as I have explained, construction 2025, connection of 1.4 gigawatts. And during the next quarters, we will add additional capacity in Italy that will start construction of assets and even in Spain. And we will add in the next quarters.
David Guengant: Next question is coming from Daniel Rodríguez from Bestinver. Why is electricity output down by 8.4% with stable capacity? Has output been impacted by curtailments?
Arturo Diaz-Tejeiro Larrañaga: Curtailment is not affected, if not, affecting ourselves because, as you know, curtailment especially is affecting areas of the south and southwest of Spain, and we don't have too much capacity in Andalucia and Medio Ambiente too much. And our problem was radiation more than curtailments. No curtailment is not significant. The effect of curtailments are least in our assets.
David Guengant: Next question is coming from Philippe Ourpatian from ODDO. Looking at our stock price and projection, we are discussing in terms of DC Generia and storage SA is a solar PV. What is your fair value for Solaria based on your current knowledge?
Arturo Diaz-Tejeiro Larrañaga: I have our value in my mind, but I'm not going to say, but obviously, it's not the actual value. I think that we start with this program of shares buyback because this has sense. Personally, I have been in a long blackout because I have received a lot of proposals for the acquisition of the company. And honestly, I think that it's timing for the acquisition of shares myself I could not acquire massively shares in the future in the -- and my view is that today is the value of the company is not reflecting the real value of the company, the stock value. But we will see in the future with all the news, all the numbers and results if stock market recognize or not. I'm worried, obviously, but in my mind, if they don't recognize, I will acquire shares. And I don't care too much. You see value, you acquire shares, and in the long term, always stock market recognized value.
David Guengant: Next question is coming from Alberto Antonio from BNP Paribas. Can we provide some detail on batteries? What type of batteries are you planning to install 2 hours or 4 hours? First question. Second question regarding the EUR 80,000 megawatts our CapEx guidance for battery it relates only for the battery pack or it also includes the installation cost? Can we provide some guidance on these two aspects of CapEx and 2 hours or 4 hours?
Arturo Diaz-Tejeiro Larrañaga: Four hours cycle batteries and EUR 80,000 per megawatt hour is the CapEx and includes all the battery pack and in your experience is 60%. I'm not going to contract yourself in Solaria, sorry, because it's expensive. You are expensive. The CapEx of Solaria is this and we are going to execute like always, with this CapEx.
David Guengant: Last question from Alberto Antonio from BNP Paribas. What our key assumptions that we are taking into account for these 5 years payback period? Are we including subsidies, our assumption in capacity payment, ancillary services?
Arturo Diaz-Tejeiro Larrañaga: Yes, capacity payments, ancillary service, but not significant because I think, honestly, even the government approve something is not going to be significant because it's a tender process and probably people is not going to pay too much and not subsidies because subsidies are question mark, who knows. We will see because as I have mentioned, Spanish program is there, and we will try to allocate an important part of our program, but we will see. We have subsidies on site. I have mentioned one of them, but we have some subsidies. Obviously, the subsidy was included, but a small amount, a few millions of euros, not bad, but a few millions of euros. And about other issues that we have included, nothing more significant.
David Guengant: We have same question coming from Alberto Antonio and from Fermora Fuente from Alantra. Are we going to cancel the shares? What is the purpose of this buyback or we can keep these shares?
Arturo Diaz-Tejeiro Larrañaga: In my view, it's cheap price, it justified the massive acquisition of shares and this buyback program. And what we are going to do, you will reside explanations in the next quarters. But today, my vision is to acquire shares because it has sense from a price point of view and situation from point of view.
David Guengant: Maybe if I may, the last question of this call from Timo from Barclays. Do we expect -- where do we expect leverage, net debt EBITDA over the next 2 years or 3 years given the buyback program and meaningful capacity addition in the short term?
Arturo Diaz-Tejeiro Larrañaga: We will see the number of EBITDA for 2025. Honestly, I think that I have mentioned during this conference call in a lot of occasions that my vision about the EBITDA for 2025. And we will see the generation of cash of next operations that we are closing or that we have closed and we will announce. But I think that the leverage is not going to be a significant issue inside Solaria for the end of this year. I think that the situation of our business is in good shape in a really good situation and our leverage or if you want our net debt EBITDA ratio will be reduced significantly for the end of this year.
David Guengant: So, thank you very much for joining today.
Arturo Diaz-Tejeiro Larrañaga: Thank you very much. As I have explained, this is the first quarter results. We have presented late. The good point is that we have a strong visibility of first half results presentation. And I have advanced a lot of things about the first half results presentation. It's exciting time. Tough time for renewables, good time for Solaria. We will see in the next quarters is exciting. And in the short term, we will present first half result presentation, and we will give more information. Unfortunately, because we have present on June the first Q, in only a few weeks, we are going to present the first half and let me keep some information in my pocket until first half with more surprises for the first half results presentation. It's timing for the first quarter and time the sentence of David that he loves, "time for action". It's time for action. And in the next weeks, a lot of action is coming. We will see. Thank you very much.